Operator: Good morning, ladies and gentlemen. Welcome to Shaw Communications [inaudible] 2008 third quarter conference call. Today's call will be hosted by Jim Shaw, Vice Chair and CEO. (Operator Instructions) Before we begin, management would like to caution listeners that statements made and answers to questions during today's call will include forward-looking information that are based on certain important factors or assumptions and that there are risks that actual results could differ materially from any forecast or projection. These factors, assumptions and risks are discussed in the company's management discussion and analysis for fiscal 2007 and for Q3 2008 and in today's quarterly press release, which are publicly filed with the Canadian and U.S. securities regulatory authorities. Listeners should refer to the information in those documents. Mr. Shaw, I will now turn the call over to you.
Jim Shaw: Thank you, Operator, and welcome, everybody. As in the past, I will introduce the members of the Shaw team and make some brief comments before taking questions you have concerning our third quarter results. With me here today is Peter Bissonnette, President, Steve Wilson, Chief Financial Officer, Brad Shaw, Senior Vice President of Operations, Shaw Cable Systems, Ken Stein, Senior Vice President of Regulatory, John Brasso, Vice President of Regulatory, and Jim Cummings, Vice President of Operations, Star Choice. It's been another strong quarter for Shaw Communications. Subscriber numbers are up across all products and services. Consolidated revenue is up 13% for the quarter. EBITDA improved by 15% during the quarter. Year-to-date we have generated almost $310 million in free cash flow. In the third quarter we purchased land and buildings near our existing facility in Calgary to consolidate our office locations and rationalize our operations. Even after this capital investment, we remain on track to achieve free cash flow guidance of approximately $450 million for fiscal 2008. Following the recent decision by the federal court of appeal on the CRTC Part Two fees, we have begun to accrue for these charges. This ruling results in an additional $22 million in cost for the year, however even after consideration of these higher fees, we continue to maintain our EBITDA guidance of 13% to 15% growth for fiscal 2008. Digital lines increased by almost 58,000 during the quarter, and we now have 550,000 digital phone customers. In just over three years since the launch of this product, digital phone penetration stands at 28% of basic customers who have the service available to them. We launched a digital phone basic service geared to customers with less need for full features and long distance to broaden the appeal of our service. Our digital customer base continues to increase and we now have 40% of our basic customers subscribing to digital. We continue to expand our high definition lineup, and during the quarter we added two more high definition channels. As you know, the Canadian AWS spectrum auction began on May 27th has not yet finished. We won't have any further comment on wireless or the auction today due to the fact the auction continues. I'm sure you all appreciate the process that has been set up by Industry Canada and our inability to comment further due to the rules of the auction. However, it is interesting, though, to see a process so clearly driven by foreign money. We just hope that when the auction's over and the bidders are qualified that they call can recite the words to the Canadian national anthem. Or what's that other song, Peter? Okay, everyone, with that I'd like to thank you for joining us, and Operator, we'll turn it over to questions now.
Operator: (Operator Instructions) Your first question comes from Bob Bek - CIBC World Markets.
Bob Bek - CIBC World Markets: If you could, give us a bit of color on the competitive market. I know you spoke a bit about the Telus TV launch in a few markets last quarter, and obviously that's expanded. I mean, your numbers obviously speak to that a great deal given the good sub numbers you've had for your products this quarter. But any anecdotal commentary as far as what environment you're facing, how much change in some markets just so that we can sort of expand on that? Thanks.
Bradley S. Shaw: Yes, you're right, we've seen, from a Telus point of view, they've launched through the quarter in the three big markets. And we've seen them aggressively price the product at discounts of approximately 40% to 50% off our pricing. And, you know, listen, we're ready for that, and we've done a lot of work on our save and win back offers and continue to fight it out on a day-to-day basis with them. And from there, it's a little too early to say how that's all working and how that's all going to flush out but, you know, we're in definitely competitive mode.
Bob Bek - CIBC World Markets: Is the new digital platform, the basic, does that play into that competitive package, and can you just remind us on the timing for the launch of that just so we can sort of gauge where it is in our numbers?
Bob Bek - CIBC World Markets: So the Shaw Digital Basic was launched in approximately mid-April, end of April, and yes, that has helped. As you look at any customer and as they have choices and stuff, it's nice to have options where you have different product levels at different pricing to meet their needs as they change or as they change their patterns. And so we've found it to our advantage to have that other product offering.
Operator: Your next question comes from Greg MacDonald - National Bank Financial.
Greg MacDonald - National Bank Financial: One quick one and then a more detailed question. The quick one is, knowing the timeline now, are you prepared to talk about what the expected timing could be when you would tell us about what your wireless plans are?
Jim Shaw: You know, I think you've got to give us a little bit of time, one, to know how much spectrum we end up having or not having, and how that configures across, whether you roam with others. I think there's a lot of work yet to be done here, but the one thing that I can tell you is that Shaw, as usual, will take a very prudent approach to delivering a product that creates value for its shareholders.
Greg MacDonald - National Bank Financial: The second question, Jim, goes to you, this Competition Policy Review Panel. I noticed that you were quoted in the newspaper reflecting the logic of that. I would join you on questioning the logic of the half measure. When you throw in the CRTC proposed moves that we've seen recently, government seems to be in its various forms moving against the telco cable industry or at least the bias is moving in that direction. Does this weigh into the company's consideration of how much to rely on price increases versus subscriber growth when you're looking at your targets for overall revenue growth? Because it seems pricing is the hot topic for government these days, and I note that it was specifically reflected to in this panel report. Do you have any comments on that?
Jim Shaw: I guess that, you know, what you're seeing, though, on our pricing, while we're able to achieve great growth, one of the things we have been able to do is bring a lot of new products to market. So we've given you a lot of different options within a cable realm, you know, whether it's one Brad was talking about, the new digital phone lite, and so we're able to tailor a little bit more so if you want to lower your bill you're able to do that. And I think that also what they don't realize from a CRTC point of view and when you talk to Heritage or industry that if they go and they license 50 channels that only, you know, 50,000 people watch, there's a big cost to that. And so the whole system is going to pay and worry they're not going to launch them or the rates are going to go higher. And I think they're asking for more capital investment on that side and more push on digital, so I think, you know, they're part of the problem, too. And I think they realize it, and we certainly have been very vocal in talking about it.
Greg MacDonald - National Bank Financial: Point taken, Jim. Does this still make the Board and the company management think a little bit more about maybe not increasing prices as much as you have in the last couple of years and maybe relying on greater sub growth? I mean, clearly there's some give and take on those two sides, and not increasing prices would probably make it a little bit more difficult for the government to waive this whole, you know, Canada's just a bad place with monopolists flag.
Jim Shaw: It was interesting, Greg, there was the misconception, even amongst the CRTC when we appeared before them recently to talk about BDU regulations, we were able to demonstrate to them that this notion that rates keep going up and up are not. If you took a basket of products - the telephone, the cable, and the Internet - and you look at it over the last five years, the rates have actually gone down for those products, and they go down by virtue of our bundling approach, which is the more you take, the more value you get. And, you know, I think the Commission was actually surprised by that. There is this perception that rates keep going up, but customers can actually do better by bundling. And I'd have to say that we've been able to do a great job of balancing increases with products and on a consistent overall basis, and we have not hindered the growth. But I can tell you we've talked about it.
Operator: Your next question comes from Rob Goff - Haywood Securities.
Rob Goff - Haywood Securities: It always seems ahead of the launch of new services, you know, there's a 20% threshold. The pundits say you can't do it within three years. The aggressive people say you will do it in three years. And then you do it much better. How would you look at wireless with that perspective?
Jim Shaw: We're not going to - you won't get much out of us on that question.
Rob Goff - Haywood Securities: Okay, then can I ask a different question, non-wireless?
Jim Shaw: Okay, sure.
Rob Goff - Haywood Securities: In terms of the labor marketplace, can you say how tight that is, and are you at full scaling or at you looking to expand there?
Peter J. Bissonnette: We think over the last year we've actually grown significantly in our technical operations, our call center, all, again, trying to achieve certain levels of customer service and response. But, you know, given the footprint now of our digital phone, we've added sufficient resources in most of our systems to support all of our products, so we would see ourselves virtually at full complement.
Operator: Your next question comes from Dvai Ghose - Genuity Capital Markets.
Dvai Ghose - Genuity Capital Markets: I understand you can't talk about your wireless strategy, the auction, but it does appear as if you're going to get some independent new engine wireless operators like Global Light, DAVE, maybe an entry venture and so on. To what extent do you seem them as being a threat, never mind to wireless but to your core voice and even Internet businesses if they pursue wireless substitution? And I assume but perhaps it's a wrong assumption, that you're not interested in wireless substitution yourself being a big wireline provider of both voice and Internet services, but would that be a fair assumption.
Jim Shaw: Oh, I don't know if we've gone that far yet. I guess that we were one of the first people that took the high speed product and offered a lite product, and we're able to do it without cannibalizing the high speed product. And we were one of the first ones that came up with an extreme product, and then we added PowerBoost, then we added Nitro. So, you know, I would tend to think that if you looked at our track record, we're open to a lot of new products, and we would develop around our networks. The problem that new entrants are going to have is the same as everything. One, they start with no infrastructure, no call center, no - they might have a billing system, they might have some expertise, maybe they have lots of money. But, you know, it's that back office that really makes the service work.
Peter J. Bissonnette: And the existing relationships with customers.
Jim Shaw: Yes.
Dvai Ghose - Genuity Capital Markets: That's a very fair point. If I can just follow up on one more thing on the new entrants' side, it was brought up at the beginning of the call in terms of foreign ownership restrictions and your position. Wouldn't it be fair to say that as it stands today, all the incumbents - yourselves, Telus, Bell, Rogers - actually benefit from foreign ownership restrictions because it does make it more difficult for some of these foreign players to come in, to show an interest?
Jim Shaw: I don't know if I'd look at it that way. Wouldn't you look at it the other way, where you'd say all you've really done is drive it up for - drive the price up for the new entrants in Canada, and they'll have to charge more to consumers, so how is that good? If your mandate is to deliver quality new products to Canadians, how can you do that when you bring in a whole bunch of people that drive up the price and I have to charge you more?
Operator: Your next question comes from Jonathan Allen - RBC Capital Markets.
Jonathan Allen - RBC Capital Markets: Jim, a question about the Capex profile. Excluding what's happening in the wireless business, in the last few years you've had some pretty big chunky spends, whether it be upgrades, headend consolidations, node splitting, billing migrations, all the rest. And it seems that some of those big projects have been going on now for a few years, and hopefully I think we're reaching the tail end of that. So when I look at the $700 million odd spend that you're doing this year, excluding the wireless, if you look over the next couple of years, should those big projects start to finish and start to bring down the overall Capex budget, which, I guess, would in turn lead you - give you some more flexibility on the wireless side?
Jim Shaw: Okay, why don't I let Peter [inaudible].
Peter J. Bissonnette: You're absolutely right, Jonathan. You would expect there would be an end to spending, and I think we're seeing a leveling off in the next couple of years, not including wireless, of course. But many of the - with our node segmentation, we'll continue, but we're now getting into much smaller nodes and the cost of doing that are coming down. We're looking at upgrades which are coming to an end in our major systems and are now going into our smaller systems and, you know, ultimately will slow down. So, you know, we see a leveling off, I guess, as it was, at levels that might be slightly less than what you've just described.
Jonathan Allen - RBC Capital Markets: If you had to quantify some of the big chunky projects that you've got ongoing right now, could you characterize it as being that, instead of leveling off, you might even see Capex coming down by, what, $50, $100 million or something when you think about all of these existing spends?
Peter J. Bissonnette: We'd love to say yes to that, Jonathan, but the reality is, you know, we're growing this [vessel] that, you know, the cost of growing in terms of supporting customers, over and above service, success based, our networks really have to be first top-rate networks, reliable. And so there is a cost to doing that. But there will be a leveling off, but it's not going to be going from, say, $700 to $400 or $500.
Jim Shaw: It'd be fair to say we feel it's going to remain generally consistent.
Jonathan Allen - RBC Capital Markets: Okay. So if I can now try to put words in your mouth here, when you do get into the wireless business, then there would have to be at least some increase, then, in the Capex. You wouldn't be able to just smooth it out at the current Capex run rate?
Jim Shaw: Well, there'd be some dual Capex, so some Capex that we're considering now in the $700 would already contemplate any wireless plans we have. So, you know, it's not going to be 100%. It's not going to be - the [inaudible] would not be included in the $700 million.
Operator: Your next question comes from Peter MacDonald - GMP Securities.
Peter MacDonald - GMP Securities: Without getting into the specifics about wireless, can you discuss how you balance the funding requirements of those sort of initiatives against returning cash to shareholders? And, to be more specific, would you be willing to use the debt capacity that you have on your balance sheet to fund these initiatives, and then use the separate free cash flow from the rest of your business to return to shareholders, as you're currently doing?
Peter J. Bissonnette: Well, let me first of all say that the cost of the spectrum will not be a reduction of free cash flow. It would be a use of free cash flow. So just to be clear, we talk about our guidance this year for $450 million of free cash flow, the cost of the spectrum will be netted from that after the $450. So it won't come out of the $450. And, you know, we've got a tremendous amount of, Peter, debt capacity, and so we've prepared to fund that on a debt basis. It's a relatively small amount for us, though, when you look roughly at the levels where we are today versus our capital structure and our capitalization in total. So it's really not a major issue for us.
Peter MacDonald - GMP Securities: Yes, outside the $200 million, though, when you look at the startup costs of the initiative - we don't know what those would be at this point in time - but would you also consider looking at funding that through debt capacity so there's no real concern about you changing your philosophy with respect to returning the cash flow that the company generates to shareholders?
Peter J. Bissonnette: I think as Jim said, anything you see us do will be prudent, as you've seen the prudent behavior that we've exhibited over the last short period of time, and I think it's early to be talking about startup costs in the wireless business yet because we haven't come to that decision or we haven't announced anything there or talked about timing of that. So I think when we get there we'll talk about that. And we'll give you, you know, if that's the direction we decide to go, we'll give you a complete report as we did with phone we launched a couple of years ago. We gave you targets and metrics and what to expect from a margin point of view, and we expect to do the same thing if and when we make that decision.
Peter MacDonald - GMP Securities: Could I just ask a quick maintenance question? On the $16 million CRTC charge, to get to the normalized EBITDA do we just add that straight back to EBITDA or is there an ongoing cost that has to be reflected in the quarterly number as well?
Peter J. Bissonnette: Well, an ongoing cost, so let me just make a few comments on that. First of all, when we increased our guidance for EBITDA from 10% to 12% to 13% to 15%, some people noted that that was because we weren't going to be accruing Part Two fees, which amounted to at the time for the year about $22 million. The Part Two fees we pay are about $2 million a month. Now, we have accrued the Part Two fees. The $16 million charge relates to both the amount in the current quarter and $10 million that relates to the first two quarters. So, you know, what I'd like to highlight for people is first of all, when you look at our $356 million of EBITDA that we've just reported for the quarter and add back that $16 million charge, it's actually $372 million is the performance in the quarter. Looking at the Part Two fees also from an analytical point of view, just to help you out here, $10 million of the $16 million that we booked relates to prior quarters. So in other words, we would have booked $6 million of Part Two fees this year had they been payable anyway, which is similar to the $6 million that would have been in the third quarter of last year. But there's an additional $10 million charge this quarter that relates solely to prior quarters. So if you make that adjustment in both cable and satellite, you need to add $7 million back to the cable EBITDA and about $3.5 million to satellite, so about $10.5 million in total. And just to put that in perspective, because I think this is important, when you exclude the charges, then, from those prior quarters that all got lumped into this quarter, the cable margin for this quarter would, in fact, be 49.6%, which is a record from what we've seen for quite some time and tremendous performance on that 19% growth, and the satellite margin would go up a full two percentage points, from 33.5% to about 35.5%. So going forward, as I said, about $2 million a month is the accrual, and all of that's included in our guidance. And so even with that $22 million charge for the year, we're still going to achieve that 13% to 15% growth and still going to achieve that $450 million of free cash flow, even after we take out the substantial facility purchase that we've just made.
Operator: Your next question comes from Jeffrey Fan - UBS Equities.
Jeffrey Fan - UBS Equities: Two questions, one for Steve is can you review for us what your cash tax situation is looking out to the next couple of years? And secondly, more on the level of homes passed and the growth there, are you seeing a leveling off of construction activities, and in the last couple of quarters now, are you seeing more of your ads, and particularly in digital phone, coming from existing homes rather than new homes, because obviously that's been a pretty big growth driver for you guys over the last few years. Thanks.
Steve Wilson: Well, Jeff, let me talk about cash taxes first. So as we said in our guidance previously, in one of our earlier quarters, we expect that for fiscal 2009 we'll be cash taxable partway through the year. And, you know, that will be somewhere in the $100 to $200 million range in terms of cash taxes for next year. And then we'll be fully cash taxable in fiscal 2010. The one thing I would caution for folks is that our effective tax rate is in the low 30%-type range, and the way it works for us is that that will actually reflect and be a close approximation of the actual cash taxes that we've paid. So I know some of you take a discount off that assuming that there's some depreciation or other effects that cause the actual cash taxes to be lower, but in our case they actually do pretty well approximate that effective rate.
Jim Shaw: Jeffrey, on the new homes and where we're getting the digital phone customers, pretty well most is coming from existing homes. And, you know, we still have our Welcome Home program that we do for all new builds and we certainly have success, but the majority is coming from existing base.
Jeffrey Fan - UBS Equities: And do you see that mix kind of continue to skew towards existing homes? Have you seen that trend kind of increase over the last few quarters?
Bradley S. Shaw: I would say it's been pretty well the same, steady Eddie, and, you know, we're still saying that same type of mix. And, you know, listen, on the Welcome Home, us and Telus are, you know, we're really fighting it out in Vancouver and Calgary and Edmonston for MDUs and the residential piece. So, you know, we're still seeing the trend for existing.
Operator: Your next question comes from Glen Campbell - Merrill Lynch.
Glen Campbell - Merrill Lynch: Where Telus is offering TV service, are you still staying with your policy of not, you know, subsidizing set tops and equipment or are you sort of altering that on a win back basis or in targeted areas to defend the base?
Bradley S. Shaw: On saves and win backs, there is a little bit of a subsidy happening on equipment when we give them an offer for six months or three months, whatever that may be. But on the retail side and in the market, we're pretty well - we have maybe a slight subsidiary we're writing on the equipment. It varies quarter to quarter depending on programs, but - this quarter maybe a little heavier, but we're pretty consistent on trying to maintain no subsidy on our equipment from an acquisition point of view.
Glen Campbell - Merrill Lynch: Steve, could you talk through the mechanics of the rate increase? The press release indicates that it was partially submitted from April, so I'm just trying to get a sense of how much is in there and how much is still to come for subsequent quarters?
Steve Wilson: Well, it's [inaudible]. It's roughly both half the quarter there. And going forward, as we said, it's about $6.5 million per month - or $6.5 million per quarter - so that's what you should expect going forward.
Glen Campbell - Merrill Lynch: So it wasn't staged. It was just that it came in partway through the quarter?
Steve Wilson: Yes.
Glen Campbell - Merrill Lynch: Okay, super.
Steve Wilson: Sorry, $6.5 million, to be clear, per month. So it's about $80 million in total per year.
Glen Campbell - Merrill Lynch: And then last one on the OPEX side, are you still sort of spending money with Bell Canada to support your phone service or have you transitioned that down or out to where you want it to be?
Jim Shaw: Yes, we're - you know, we've transitioned it virtually all out. So there still are some residual customers that -
Peter J. Bissonnette: We still have some 911 and some [operator] services, don't we?
Jim Shaw: Yes. So operator service still, you know, come through Bell, but long distance, you know, we're looking at [ROE]. We have another Class 4 switch going in which will allow us to be fully reliant on ourselves as opposed to anybody else.
Glen Campbell - Merrill Lynch: And so the Q3 numbers you just reported would reflect that? In other words, that's true for the whole quarter not just the current state, is that right?
Jim Shaw: Yes.
Operator: Your next question comes from David Lambert - Canaccord Capital.
David Lambert - Canaccord Capital: My question's around the telephone business. Can you talk about how many you added in basic versus the sort of $55 a month service, so the $30 or $35 a month versus the $55 a month service? And is there any reason for the acceleration in the growth rate of the telephone subs this quarter?
Jim Shaw: Yes, I think that while we wish we could give you that number, you know, a number of competitors are on the call would force us not to give that to you. But we can say that both products continue to grow well, and that one is not cannibalizing the other. And that's basically what we can tell you.
David Lambert - Canaccord Capital: And just around the move away from Bell to your own interconnection, have you got an idea now how much you might be able to save, you know, on an annual basis from basically doing your own interconnections?
Peter J. Bissonnette: Well, we're saving it now, actually, so you're seeing that in the numbers.
David Lambert - Canaccord Capital: Yes, just trying to back out how much that is.
Peter J. Bissonnette: Yes, that's a number, Dave, I don't think we want to be too specific about, but it's all reflected in the EBITDA guidance that you see for the year and that superior kind of growth rate that we're forecasting.
Operator: Your next question comes from John Henderson - Scotia Capital.
John Henderson - Scotia Capital: I don't want to focus on any kind of negatives in such a great quarter. I just wanted to ask, though, about [inaudible] EBITDA. I mean, I guess there's some rising expenses, a little more than usual it seems, other than the Part Two. It looks like about 4% adjusted EBITDA growth. I wonder if you could provide some comment there?
Steve Wilson: Well, first of all, before Jim steps in from an operational point of view, just let me remind you again that there was a $6 million charge against that [inaudible] quarter. So, you know, if you add that back in, that takes it up from $62 million to $68 million and would actually be ahead of last quarter and again, the margin, adjusted for those prior quarters where the Part Two fee has all been booked and lumped in this quarter, would take the margin from 33.5% up to 35.5%, so a full 2% reduction. And then Jim can talk about some of the additional operating costs we have in the business.
Peter J. Bissonnette: Yes, I think, like Steve said, the numbers reflect pretty positively what we've done in the quarter, and we continue to hone on making sure that we drive every little bit of cost that we can out of the business, and especially in the call center area. Adding the third call center a year ago has made a big, big difference in us looking at opportunities to move things around a little bit. So I think it's pretty positive.
Jim Shaw: So it's just more of an accounting that makes this quarter look a little bad.
Steve Wilson: That's right.
Jim Shaw: Generally we're up, and I think we generally have to - we're pretty pleased with the performance of the group this quarter.
Peter J. Bissonnette: We were actually delighted that once again our call center and Star Choice was rated as one of the top call centers in North America in terms of customer response.
Bradley S. Shaw: Yes, and satisfaction; very pleased.
John Henderson - Scotia Capital: I might just follow up on one thing on the Capex at $700 million leveling off, that would include, I assume, plans, potential plans for switch digital video, that sort of things
Jim Shaw: Well we, you know, we're still not there in switch digital video. It's not totally ready for primetime. The industry hasn't decided whether it's going to really, really get down and deploy it. There's, of course, a lot of ongoing discussion between all the major cable operators. It sounds really good consumer-wise; tactically, it's a bit of a challenge. We can do it, but is there a benefit behind doing it? And so there's still some questions out there. I think what Peter was saying is we still have ongoing long-distance fiber and local fiber and node splitting and supporting the - I don't know, what are we, 9 million calls a day now, Peter?
Peter J. Bissonnette: Yes, 9 million telephone calls a day.
Jim Shaw: And how many e-mails, 60 -
Peter J. Bissonnette: Oh, gosh, it's - 70?
Steve Wilson: Seventy million.
Peter J. Bissonnette: Seventy million e-mails.
Jim Shaw: Seventy million e-mails a day. So we, you know, just to host all that stuff we're going to have to maintain a certain level of Capex going forward, and we'll drive efficiencies back and forth as best we can.
Peter J. Bissonnette: You know, we look at our means, we prioritize Capex, we [inaudible] because you can't do everything at the same time. So we do manage our capital as closely as possible. And, you know, on the switch digital, it's interesting that even in the U.S. cable operators are now looking more for upgrades for channel capacity than switch digital because it creates some complexities that would really undermine, in some areas, the quality of service the customers are receiving because of the reliability of the plant. So upgrades are, as much as they're traditional, we've sort of factored those into that $700 million Capex levels, and whether it's MPEG-4, APSK, a new modulation scheme that might be coming out, [inaudible] 3, we'll work within our skin and within our means.
Operator: Your next question comes from Tim Casey - BMO Capital Markets.
Tim Casey - BMO Capital Markets: A couple things, one regarding the upcoming decision on the, I guess, the specialties in BDU hearing. I mean, you know, the fee for carriage still seems to have some life and, you know, your positions on that are well known. If they were to introduce some sort of fee for carriage, do you expect you'll still be able to put through your regular price increases without any pushback from consumers? And secondly, could you talk a little bit about spectrum management on the data side? You know, there's a lot of speculation out there that the video uploading that's going on by consumers now, it's going to start to put some pressure on networks. I'm just wondering what your thoughts are on that and how you'll manage that trend. Thanks.
Peter J. Bissonnette: Well, the trend is, you know, every year it seems like we're doubling the amount of data that we're handling on our networks, and one of the challenges, as we've said is - and one of the things that we're prepared to do - is to continue to scale our networks to be able to support the kind of traffic that our customers are generating, whether it be telephone traffic or Internet traffic. And we've managed to do that from the time we had 10% penetration now to the time that we're, you know, over 70% penetration. Customer usage and their habits are changing. Yes, they're downloading videos and BitTorrent types of things, but we're managing our network to accommodate that.
Jim Shaw: Let me add just one thing, Peter, that we've talked about that we're kind of watching is the bit capping process that seems to be happening through the U.S. where very, very high users that look to us like they're trying to take our top Internet service, use it as a commercial service at the degradation of all the Internet customers.
Peter J. Bissonnette: It basically managing our network, and there's going to be high users and there's going to be low users. And they both are paying customers and so, to the extent that we can accommodate them within the rate structure that we have, we will.
Jim Shaw: And on the fee, we would pass it through instantly. We might even put it as a separate line item on the bill. That would be probably Jim and John's recommendation. And I think that there's a lot - I wouldn't worry about it too quickly; I think there's going to be lots of scrambling around that now as politicians finally realize what that would mean and how many calls they would get just over the fact that they're supporting people that made bad decisions in business and/or regulators with no real generation of any quality Canadian programming.
Peter J. Bissonnette: And I think at the hearing, we were - I think the hearing actually provided a great opportunity for us to demonstrate just how false the proposals [inaudible] the broadcasters put forward as for their need for it and for the consumer reaction to it. So I think that the hearing was actually positive to demonstrate the value of cable and the uselessness of such a charge.
Tim Casey - BMO Capital Markets: Can you avail yourselves to avenues of appeal or whatnot if the decision did go against you?
Jim Shaw: Oh, of course, yes.
Tim Casey - BMO Capital Markets: Should we expect you would exhaust those avenues of appeal?
Jim Shaw: Yes.
Peter J. Bissonnette: Totally. I think Rogers indicated that they're prepared to go to the courts if the commission went and approved a fee for carriage, so I think yes, we will exhaust all of our avenues.
Operator: Your next question comes from [Adam Stalin] - PPM.
Adam Stalin - PPM: Could you just repeat what you said earlier about Capex? I think you said guidance this year for over $700 million, and then I think you commented just generally about trends in the future?
Peter J. Bissonnette: I think what we said was that trends in the future, irrespective of the - not including wireless - that they would be, you know, in that $650, $700 range and, you know, we would expect that that would continue over the next few years as we finish our operating projects and as we finish our headend consolidation and as we continue to segment our nodes. I mean, our nodes have gone from 1,000 customers per node to now 750, and it's had a significant positive impact in our reliability and our ability to handle the kind of increases in usage on our network the telephone and Internet are providing, as well as accommodating new HD signals.
Adam Stalin - PPM: And Capex, is it correct to think that you benefited by virtue of the weaker U.S. dollar? You're buying a lot of boxes and other stuff in dollars, is that correct?
Jim Shaw: A lot of our vendors are U.S. based and so, you know, certainly our boxes, you know, are coming primarily from the U.S. - all from the U.S. actually, and amplifiers and fiber and modems.
Steve Wilson: And it goes the other way, too.
Bradley S. Shaw: And a lot of that is passed through to the consumer as well in lower consumer premise equipment.
Adam Stalin - PPM: And then just kind of contrasting what - your performance has been, you know, very strong, even relative to the rest of the industry and North America. Is it correct to think about, I mean, I don't hear anybody asking about any economic weakness and housing problems. Is it right that the economy, particularly in Western Canada, still remains very robust?
Jim Shaw: I would say very robust in Western Canada. Probably, you know, a little lighter in Saskatchewan, though. A lot of activity in the mining and oil exploration side. Manitoba, generally just consistent. So I think we're certainly in two of the big growth areas, provinces, in Canada.
Adam Stalin - PPM: And just a couple quick ones on the balance sheet. I see letters of credit, $400 million or something. Is that related to the wireless auction process?
Steve Wilson: Yes, that's correct.
Adam Stalin - PPM: And then your leverage is very low. I guess two questions on that. Have you spoken to the agencies recently? Is there any discussion of an upgrade, and on the second hand, is it - do you anticipate keeping it that low or do you think it's probably too low right now?
Peter J. Bissonnette: Well, we'd certainly love to see an upgrade here. We've postponed discussions with the agencies until we're through the spectrum auction, until we can put some better definition around that, and we'll be doing that in the fall with the agencies. We already raised investment grade by DBRS and, in fact, they've moved that trend up to positive as well, and so that's good. But we'll be having further discussions with our Board. We're talking about our budget for next year today, and we'll be having discussions in the fall about [inaudible] target structure. And one of the things, Adam, that we will want to make sure is that we don't become under levered as we move into a situation where we're cash taxable. So we'll be finding that sort of - that balance that works for us, both from a financial point of view and from a strategic point of view.
Adam Stalin - PPM: Just remind me, on the Star Choice business, how many satellites are you using, and which ones - do you own those or do you lease those from somebody? I forget.
Jim Cummings: We have two up there, F2 and F1R.
Peter J. Bissonnette: And the transponder capacity is leased.
Adam Stalin - PPM: Is that from Telesat or from somebody else?
Peter J. Bissonnette: Yes, it's Telesat.
Adam Stalin - PPM: It's the Telesat [inaudible]?
Peter J. Bissonnette: Yes.
Operator: (Operator Instructions)
Jim Shaw: Okay, Operator, I think we're going to close out. Well, thank you, everybody, and have a great long weekend.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.